Operator: Thank you. [Operator Instructions]. And your first question comes from the line of [Lee Bean] from Morgan Stanley. Please ask your question.
Unidentified Analyst: Hi, thank you for taking my question. This is Ian on behalf of Bean. I have a question on the gross margin. So can you please provide some guidance on the gross margin for the fourth quarter of 2013, for both our network and hospital business?
Unidentified Company Representative: Thank you for the question. As for the gross margin, as I discussed in our prepared remarks, the gross margin was affected by both the seasonality factor as well as unexpected consumer expenses during the third quarter. So we expect for the fourth quarter the net worth business, net gross margin will trend higher and will be between the level of mid 50s to the 60s level percentage wise. And the hospital, it is impacted by the seasonality factor even more obviously because in terms of the cost for the hospital operation by our calculation about one-third is fixed cost in terms of the service gross margin. So in that way as the revenue for the fourth quarter trends higher, the gross margin will improve accordingly. So we expect the overall gross margin for our operations for the fourth quarter will be higher than third quarter will be in the range, I would say between 40% to 45% in that range.
Operator: Thank you so much. (Operator Instructions). Your next question comes from the line of Sean Wu from JPMorgan. Please ask your question.
Sean Wu - JPMorgan: Thank you for taking my question. I have a question on your telemedicine and [telemedicine] you start business like [indiscernible] business plan last year, you have invested quite a bit and clearly your profitability was temporarily hurt by the investment. So I just wonder how much like kind of sales or impact that allow new business is now effecting the business and also like when do you see this business go and when do we expect the tangible acquisition to your top line and also whether will you seeing any kind of meaningful contribution to the profit very soon, on the positive kind of growth.
Unidentified Company Representative: We have two reasons to work on our telemedicine service business and the first reason is right now the telemedicine surveys is now is very huge in the market and it is the highlighted to combine IT services and medical service together. We have very advantageous foundation to do the telemedicine service and right now we have 144 centers and we have been working on [tax product] changing communication for a long time and this is again is our advantage per business. And here I think in the market there are a lot of enterprises working on the telemedicine for the -- to pursue the profit model and but comparing with them we have long advantages for this business. And right now we are trying to do the telemedicine business model to get revenue from it and by based on this platform for -- of the communication between centers. And even though we are investing more for the telemedicine service than the revenue from it but we believe we can get the growth point from this business model in the future. Thank you, Tom.
Sean Wu - JPMorgan: Okay, great. I have another question about your center business. Clearly this quarter your center business performed much better than I think in previous quarters, your third quarter is like about 15% versus I think [indiscernible] a couple other quarters. So unlike, can you tell me a little bit of why that [indiscernible] was so strong in this quarter? And a related question of course you added four centers this quarter, three [indiscernible] one for diagnostic. So can you like be more specific where those centers are being added as we’d like to [indiscernible] whether those centers will be like very quickly profit growth for you any time soon?
Unidentified Company Representative: Okay Tom, let me answer the question. So first as for the gross rate of our network business and the way I’ve seen the network revenue grow by stronger by high rate compared to the second quarter. I think why not the -- as I mentioned in our prepared remarks, it is driven by both increased traffic in our diagnostic centers as well as the improved per patient yield from our treatment centers. In terms of the diagnostic centers, we are still seeing strong growth in both the conventional diagnostics services such as the MRI and CTs and with patients that who are benefiting from the wider coverage of the government sponsored social healthcare health insurance in China right now, so more and more patients are visiting their local hospitals to receive these conventional diagnostic services. And also in terms of the high-end diagnostic services in our network such as the PAD CT centers. We are seeing a stronger demand from the high earning population as they are more -- becoming more health conscious and waiting to pay out of pocket to receive high-end physical tests. So that is one of the drivers for revenue growth in the network business, namely the higher traffic in the diagnostic centers. In terms of the treatment centers, although the patient number in our treatment centers seen a year-over-year declining because there are some centers that with expiring contracts and closed during the course of the year. But we are seeing a very strong improvement in per patient yield and per patient service charge. So, especially the contributions from the new Cyberknife centers. As you know we opened the first Cyberknife center in our network last year and then we opened another one in the second quarter of this year. So the Cyberknife centers, first it is more accurate way of mediation services and secondly there's less side effects to the patient. So the patients are willing to pay more. And in the two cities that we’re operating our Cyberknife centers in Shanghai and in [indiscernible]. The social insurance converge is relatively small for the Cyberknife service, but we are still seeing a very strong demand from the patient. So they have contributed significantly to our total revenue as well as improved our per-patient service charge, per patient yield for our treatment centers. So we believe this pattern will continue in the future as we are seeing more traffic in our diagnostic centers and we’re seeing per patient yield improvement in our treatment centers. As you mentioned, we have added four centers in this quarter which includes three treatment centers and one diagnostic center. So the treatment centers are located within different areas in China, and I think there are two in the northeast area and the one in southern China and the diagnostic center also is in Central China. So these added centers have strengthened our position as a leader in this cancer treatment and diagnostic industry in China.
Operator: Thank you so much. [Operator Instructions]. There is no further question at this time and I will like to hand the call back to management for closing remarks.
Unidentified Company Representative: Operator, there's no question anymore?
Operator: Yes, there is no question any more.
Unidentified Company Representative: So once again, thank you for joining us today. Please don’t hesitate to contact us if you have any further questions. Thank you for your continued support.
Operator: Ladies and gentlemen, that does conclude the conference for today. Thank you for participation. You may now disconnect. Good bye.